Sara Cheung: Good day, everyone, and thank you for joining us this online briefing to discuss First Pacific 2024 Full Year Financial and Operating Results. The results presentation is available on First Pacific website, www.firstpacific.com under the Investor Relations section, Presentation page. This results briefing is being recorded, and the replay will be available on First Pacific's website this evening in the Investor Relations section. For participants from the media, please note the Q&A session is open for investors and analysts only. If you would like to raise questions, please call us when the briefing is finished. Today, we have with us is our Executive Director, Chris Young, and he will come in, in a minute; and our Chief Financial Officer, Mr. Joseph Ng; our Associate Directors, Mr. John Ryan and Mr. Stanley Yang and other senior executives from the head office in Hong Kong. Over to you, John for the presentation, please.
John Ryan: Thanks very much, Sara. One or two housekeeping points as we begin. Most of you, if not all of you, are probably aware that we update this presentation from time-to-time, certainly every quarter with results of operating companies that report on that basis and often more frequently with changes in minority shareholdings. Second, please be aware that when you see something in this book that is underlined, it's almost certainly a hyperlink. So if you're looking at it on screen, you can -- for example, looking at the table of contents, rush to that page or if you are looking at the beginning of the MPIC section and it says financial highlights underlined, you click there and it will take you to the appropriate place in the MPIC website. Okay. To begin, Kieran, (ph) please, let's go to Page 4 for a quick glance at our pie chart, most of us are familiar with. Indofood, the biggest of our assets, the green, blue and red are our core holdings. Philex and others are there in purple. These values are as of the end of December. Since the end of December, our stake in MPIC has increased from 46.3% to 49.9%. That information is correct at the far end of the book where you see the economic interest in all the units that we've got. The valuations of the companies here are at the closing share prices as of the end of 2024. MPIC and PLP, of course, are at book value, specifically for MPIC at PHP5.2 per share. It was privatized in the autumn of 2023. Quickly to the next page, probably a little surprise to all of you who followed the nine month numbers of our units. We've had some record highs, record high contribution, record high recurring profit, record high full year distribution to shareholders by the grace of our CFO, Joseph Ng, who joins us here this afternoon. So we paid out a total of HKD0.251 per share to our shareholders with -- because the earnings were superb and the cash flows remained strong as they were from the previous year. A few details on that are on Page 6. You can see dividend income bottom left chart, a little bit down from the record high set in 2023. But overall, our balance sheet, cash flows, etc., remain quite strong. We've retained two investment-grade credit ratings. I think it's for over two years now. As you can see top left there, we've got no borrowings following due this year, got about $200 million due in 2026. And then our only borrowing is due in 2027, that's about a bit less than a quarter of all of our borrowings. But as you can see from the pie charts down at the bottom, our fixed rate borrowings are a little bit over half of the total. We have an interest coverage ratio at the end year of 4 times. Our comfort level, as many of you are aware is 3 times or higher. And there are some details about the interest rates we pay and the maturities there in the bullet points. But let's move very quickly on to Indofood. 2024, I think, was the 11th year in a row of record high revenues at Indofood. Certainly, the EBIT and the core profit were at record highs and so are many of their sale numbers. We're looking at Page 7, where we've got the EBIT margins in the blue box showing that Noodles' full year margin of 25.9% is the highest full year margin we've ever seen for that food group. And it has been the big driver of their profit rising from high to high. We expect Indofood will continue strong into 2025. If you look two pages further along on Page 9, you can see there that the biggest increase in sales has again been to the Noodles division, and they make up a total, as you can see, of 46% of all sales. It's the biggest, I think, instant noodle maker in the world. It's increasingly international as the time series of geographic sales breakdown shows you down at the bottom of that page. And we expect sales in all of those regions to continue growing through 2025. Page 10, the next page shows you some time series data about their borrowings and cash flows and so on. Absolutely fascinating numbers, I think they are. But let's move on in the interest of time to Metro Pacific, the privately owned holding company in the Philippines on Page 11, where we see the power, the toll roads, the water, the big main businesses, followed by health care. It's now 27 hospitals and then some other smaller businesses. To recap on Page 12, that company was privatized in the autumn of 2023. If you want details of its operations and earnings, you really have nowhere else to go except to First Pacific, where we own just about half MPIC or GT Capital, which is the second biggest shareholder just under 20%. Now the numbers on Page 13, again, show lots of record highs; record high contribution, record high core profit. We see that these numbers were driven mostly by power, followed by water and roads. Water and roads were boosted by higher tariffs, power by higher sales and increasing production of electricity in its rapidly growing electricity generation business. Metro Pacific hasn't got any formal forecast for full year 2025, but current trends suggest that it will be another strong year. Page 14 shows you a little bit about balance sheet and cash flow over at MPIC. Record high dividend income during 2024, as you can see in the box on the top right. We can get into more detail on the MPIC companies in the Q&A. But because we're such a big and diverse group, let's just hit the highlights in the narrative. So we're leaping ahead now to Page 21. For a few brief words about PLDT. Again, some record highs, record high sales and service revenues rather and record high EBITDA. All three of its main businesses delivered stronger sales. And if you look at the breakdown of service revenues there on the bottom right, you've got, as in the past few years, mobile data and SMS showing the strongest growth and then fixed line data also growing strongly and fixed line voice as well. Mobile voice is the only major source of service revenues that is down, and we expect PLDT going forward to continue growing quite adequately. And remember, they're an important source of dividend income for us. They pay 60% of core profit to shareholders. Now on Page 23, we've got the fintech that is controlled by PLDT. They're the biggest shareholder with 38% of the only telco in the Philippines to have a banking license. The column charts at the bottom show you that they are growing very strongly. Depositors more than doubling over the course of the past couple of years, deposit balances growing very strongly and loan disbursals, as you can see, are up enormously. They moved into profitability in December 2024, and we would expect that in the early months of 2025, we might continue to see that strong performance. First Pacific, you'll see in the footnotes there owns, directly about 1.4% of Maya, our economic interest. I think it's a little over 11%. Details are in the back of the book. Regarding the future of Maya, you can ask us about that in the Q&A. Stanley Yang, our Head of Corporate Development, I'm sure we'll be delighted to talk to you about that. Over on Page 25, PacificLight Power followed record performance in 2023 with a more moderate pace of earnings in 2024, mostly because of lower blended nonfuel margins. Nevertheless, they continue to be a strong and important payer of dividends to First Pacific. Recently, looking to the future, they were awarded a power project of 600 megawatts of hydrogen-ready CCGT, which should go into operation in January 2029. Stan, am I inaccurate on that 600 megawatts? Is it 600?
Stanley Yang: It's capable of more, but the contract with EMA is 600.
John Ryan: Okay. That's why we've got that detail there. Now to our last of our bigger holdings, Philex Mining Corporation on the following page, Page 26. As we've seen in each of the past few years, the grades are in slow decline at the Padcal mine, which produces gold, copper and a little bit of silver. It remains profitable as we see in the column chart on the top right. And we've managed to again extend the mine life at Padcal through 2028. And that's quite important because you see on Page 27, the future of Philex is in the Silangan mine, which is expected to begin production in 2026. So we will have a couple of years of overlap where Philex will be operating two mines while the Silangan project gets up to speed with its much higher grades of copper and gold. You can compare the grades between the two mines by looking at the two pages next to each other. Now the appendix in this book has got a couple of new pages. Page 34 has got some per share data that we haven't had before. And then on Page 43, we've got a graphical look at earnings and exchange rates, which can give you some comfort on that sort of thing. That's it for the opening narrative. I think, Sara, now.
Sara Cheung: Yeah. We can start the Q&A session.
Q - Jeffrey Kiang: Hi, John. This is Jeff from CLSA. Can I jump in and start asking a question? I cannot find a raise hand button from my end because -- sorry for jumping in suddenly.
John Ryan: Please go ahead.
Jeffrey Kiang: Yeah. Thank you for all the remarks. A few questions from me. The first one, just trying to understand just a very boring maintenance one, trying to understand the FPM Power. How should we think about the earnings trajectory in 2025 and maybe 2026? Just trying to see what should be expected on that? That's the first one. I will wait for the next for you after the answer for this question. Thank you.
John Ryan: Stan, can you help?
Stanley Yang: Sure. Why don't I take that one? Hi, Jeff. In terms of the PacificLight performance, as you are aware, the performance after 2021 when the plant became profitable, ramped up and hit it high in 2023. Now 2023 was an exceptional year. It's a one-off in our view because of the confluence of the supply, the gas situation and so forth that pushed prices to levels that the Singapore market have never seen. As part of that, the key metric is the -- basically the gross margin, what is called the non-fuel margin, which was at over SGD100 per megawatt -- and as a result of that -- megawatt hour. And so as a result of that, the profits were -- and EBITDA was very high. Now last year, that came down. The nonfuel margin was mid-80s. And we expect that, that would gradually not in a big leap, but a gradual tapering, where you have to recall that the long-run marginal cost when we think about vesting contracts when the Singapore government offers these vesting contracts, it's based on a long-run marginal cost. And the price range on that is approximately $45 to $50 per megawatt hour. And so when you put that in context, then it's not a surprise then as the supply comes on stream, as the demand is steady, that you would see some tapering down from where the levels have been in the last couple of years. Now how quickly that happens, I think that's depending also on the market growth. EMA have stated that they expect that the growth to be strong, and there's a basis for growth rates to exceed 4% in the market on an annual basis in terms of generation demand. And so with that in mind, I think what we will monitor, of course, is then the price fluctuations. But in the next couple of years, I think it's fair to say that the expected price will not be as high. Having said that, though, it is a merchant market. There is additional demand that is growing. And another key factor is the 600-megawatt new project that John mentioned earlier, where by virtue of having that, and this project will be completed in 2029, then that adds a significant new capacity into PLP's portfolio. It is a new turbine. It is more efficient. And so when you think about the heat rate and the performance and relative to the cost of running these plants, I would say that overall, PLP's portfolio will still be one of the newest in terms of overall among all the Gencos, including the 2 F classes that they have today and a new 100-megawatt ancillary services that's being completed soon. And so when we think about the portfolio, then PLP has a good runway. The other thing to mention 6is that the gas situation, which has always been a problem in the past, the management was able to secure long-term contracts, and we believe that they have a benefit in terms of relative to other peers in the market.
John Ryan: Thank you, Stan. Jeff?
Jeffrey Kiang: Yeah. Thanks, John. So switching gear a bit to Metro Pacific or, let's say, Meralco first. I was seeing some news article about Terra Solar Phase 2, maybe somewhere over the past two weeks or so. So is there anything that you can share with us now on that specific projects? Or is it still very early stage to talk about it?
Stanley Yang: It's Stan as well. Let me take that. I think the focus at this point is really on Terra Solar as it is, Phase 1, and that's the 3,500 megawatt project. Now that is going to be delivered in two phases. The 6 -- the initial one will be delivered in Q1 of 2026 and the balance 250 megawatts will be in Q1 of the following year in 2027. And so these are the key in terms of the build-out of this particular project, the 3,500 megawatts, which Actis, the U.K. private equity firm and just recently closed on its investment of 40% into the project. Now I think that you may be referring to some articles about future continued build-out of solar projects. I think it's too premature to get into any details of it. I think clearly, in terms of fuel mix, the government, the country will want additional renewables. And so we would continue to look at that. But in terms of timing and specifics, that would be too early to say. And so for now, the real focus is around this 3,500 megawatt peak with the 20-year power supply agreement that has been contracted with Meralco.
Jeffrey Kiang: Got it. So switching gear a bit to the Maynilad. So I was referring to the announcement you guys put out about a week or two ago about the spin-off of Maynilad. So just trying to work in on your upper bound of the valuation, which I calculated as $2.8 billion. Would you be able to share some of your working assumptions or what needs to be achieved in order to arrive at that sort of valuation for spin-off or what are the sort of the considerations here for us? Thank you very much.
John Ryan: Stan, is going to talk on that.
Stanley Yang: Yeah. On that one, I won't comment in terms of specifics around valuation other than at the level that you're talking about, this is reference to the maximum price in the filing because, let's say, in Hong Kong, often the protocol is you would have a range, a min and a max on a range. In the Philippines, in this preliminary filing, it is a maximum only. There is no range in terms of a minimum as well. That price range would be set closer to the IPO timetable. And so that's something that you have to bear in mind in terms of what the valuation is because under the PSE requirements, it's just the maximum at this point. And so I think the key, though, what will drive the valuation. One is the strong performance. The fact that in the last two years in 2023, the business was able to implement a tariff increase of approximately 13%. And in 2024, an even larger one at about 19.8% tariff increase. And as the management focuses on improving the operations and the efficiency of the system, the nonrevenue water, which is a measure of the loss of the water in the pipes and so forth, is a key benchmark that is targeted to come down and be reduced. And so with the capital expenditure program and the focus on driving more efficiencies, this will deliver more waters to the customer and hence, more revenues and then flows to the earnings of the business. And so that is a key metric that from where it is last year, it finished just over 40%. We would like to see that by the end of the next couple of years. It can get to a level that will come down to below 30% and then eventually to a longer-term goal of in the 20% level. And that we feel is benchmarked against other well-run water utilities globally. And so I think that as those get implemented and get executed, this would help in terms of the valuation and the picture for Manila.
Jeffrey Kiang: Thanks, Stan. My last question would be the borrowing about share buybacks. The reason why I'm asking about share buybacks again is because a lot of interesting and value unlocking deals coming through and then Philex Mining is becoming very interesting starting from next year. And then we have a very healthy head office balance sheet or the cash interest cover ratio. And then I think for 2024, we have the first net cash inflow at the holdco level as well for the entire 2024. So my question is, is this effect -- so given the current discount to NAV, which my data is showing 56%, pretty wide. Is this something we should be thinking about again in the near future for share buybacks? Or is it like still more or less depends on other stuff?
John Ryan: Joseph, you help and maybe Chris might have a comment after you speak.
Joseph Ng: Yeah. Maybe I'll try to address that, Jeff. It's Joseph there. I think at the end, it ties to the general question about capital allocation because the share buyback is always part and parcel of the so-called returns, but broadly the return to the shareholders. And it ties to a number of things, including the, say, the dividend distribution policy. So it's a kind of -- dynamic kind of a situation that we are assessing every year. But the very broad kind of analysis, Jeff, you can see from the cash flow we just put up by John that 2024, very, very broadly of $300 million dividend there about -- dividend income there about. I mean of the head office side, it was about $90 million to $100 million. So-called free cash that we could deploy at the headquarters level is somewhere around $200 million. And then we are now paying roughly [indiscernible] of that to -- back to the shareholders in the form of distribution. Now we are not -- and then we still need to keep some cash for reinvestment. For example, the new CCGT plant that PLP has to build and put up for operation in January 2029. We need to push back a bit kind of equity contribution to help PLP to build it. So we need to keep some cash for that. And you also mentioned earlier about the IPO. And then as part of that, we also need to fork out (ph) some money to fund the so-called [indiscernible] entitlement to the shareholders, which effectively is also a return to the shareholders. So all in all, what we are saying is that we need to assess as to the liquidity situation at the headquarters level before we kind of consider again any share buyback because if we stick with this distribution policy, we are paying at least $130 million, $140 million back to shareholders out of free cash flow of roughly about $200 million. So there would not be a lot of liquidity to say, that we could deploy for both share buyback as well as putting that money down to PLP to help to fund the build-out of the new CCGT plant. It's a good idea, but it's not something that we would actively consider. I think 2023, we actually made the decision of deploying some of our cash to fund the privatization of MPIC, which actually cost us $130 million. Now at that point, we did face a choice between putting the money down to help to privatize the company or actually continue to do a small-scale buyback, and we made that decision to put the money down for the privatization, and we see the outcome and the positive reaction in share price to that. So it's something that we'll consider on a kind of regular basis, but I think it ties to a number of things, in particular, the dynamic capital allocation measures that we will consider. Chris you'd like to chip in anything or...
John Ryan: Okay. We have a [indiscernible] let us see that question. To what extent does MPIC want to be diluted during the Maynilad IPO? Will Maynilad still be consolidated in First Pacific and MPIC post-IPO? Over to you, Stan.
Stanley Yang: The intent is that the IPO, the base offer and any overallotment would be on the principle of having new money into the business in the form of the primary issuance. The funds that come into the company would then be applied to the capital expenditure requirements of the business. And so I think that's the -- there are additional opportunities depending on how the IPO and the demand and take-up of investors is to have an upsized amount. And so -- but the base amount, which under the filing focused around 22% and then the overallotment would give about 25.3% in new primary proceeds. Now to the question of dilution, that would not be -- that would be dilutive by virtue of the new shares coming in and the enlarged shareholding base. But having said that, the intention is that MPIC, along with the other shareholders who exist today, DMCI and Marubeni, we continue to, as a block, have a substantial and majority shareholding in Maynilad because today, the shareholding structure is that this -- there's a holding company that owns 94% of Maynilad, and then there's an additional approximately 5% that is held directly by Metro Pacific. And so following this, even with dilution then -- and Metro Pacific and this holding company, Maynilad Water Holding has a 51% interest in the business. So that just gives you a perspective that even with some of the new money coming in, potentially anywhere from 25% up to, let's say, 30% through this initial public offering of -- potentially of the new equity, then there will be the dilution for sure, but still having the controlling block held by this holding company.
John Ryan: Okay. Thanks very much, Stan. Another written question is, again, for you, Stan. Can we share the financing mix that PLP will use to finance its new power plant project? And how will this affect dividends from PLP going forward?
Stanley Yang: Sure. So in terms of the financing plan, so the current anticipation is that debt of approximately 60% of the project cost would be taken for the project financing and then equity contribution of approximately 40% for the equity component. And so in terms of the dividends, PLP will continue to pay its shareholders as the proxy in the last couple of years, approximately 100% of the core income has been distributed as dividends. Now these dividends in turn, to help with the funding portion of it would be then reinvested into the project and PLP in terms of funding the equity portion. And so that would be the expectation over the next couple of years as this project gets developed.
John Ryan: Thanks very much, Stan. Have we got more questions coming from our listeners?
Sara Cheung: Patrick has a question...
John Ryan: Patrick yes. To gearing ratio target, Joseph, can you please help with that?
Joseph Ng: Normally, at our level, we set the so-called debt level, our target debt level more reference to the interest coverage ratio, which is the debt interest servicing capability that we could sustain rather than looking into the so-called the gearing ratio because if you look at the gearing ratio, either use the book, which does not really reflect the true value of the company because mainly the underlying investment, we will not do the mark-to-market valuation or else you need to use the gross asset value, which is about $5 billion kind of value vis-a-vis the net debt that we are having about $1.3 billion. But the so-called value of the investment that we are holding actually fluctuates and also depends on how you value investment like the MPIC because it's not privatized. That could be low and that could be much higher than what we are saying in our kind of our statement of net asset value. So we normally focus more on the interest servicing capability. And normally, we set a ratio of not less than 3 times, which we feel quite comfortable with. And currently, we -- I think we have -- as of December 2024, we have more than 4 times. So I think we are very comfortable with the interest servicing capability. And mind you that while we think that there's clearly a kind of a decent level of debt to be held at the headquarters level. So as of now, we are having a gross debt about $1.47 billion and all the ratios that we are seeing are quite healthy. And we got the kind of the confirmation from one of the credit agencies, Moody's a few weeks ago to confirm our credit rating stable outlook. So overall, I think we're quite comfortable with what we are having. In terms of the debt maturity profile, I think the next one coming up will be another $200 million in -- all the way until January 2026. So we have nothing due in 2025. So we are quite comfortable about getting refinancing of that $200 million due in January 2026. So it's no issue at all about kind of refinancing the debt and keeping the same $1.47 billion gross debt at our level.
John Ryan: Thanks very much, Joseph. Stan, what's the total CapEx cost for the new power plant?
Stanley Yang: So what was disclosed in the recent announcement was the value as related to the EPC contract. And so that value as disclosed was $564 million. Now as part of the overall project, though, there would be additional costs, for example, related to battery storage, the seawater intake system, connection charges and financing costs and so forth. And so at this point, that has not been publicly disclosed other than the value of the $564 million in terms of the expected EPC cost.
John Ryan: Thank you, Stan. And now we've got a question about normalized spreads in the electricity generation sector in Singapore. What do you think the ROI is going to be? Were you just answering that? No. For the new power project in Singapore.
Stanley Yang: Yeah. So in terms of the expected returns, I think what we would say is that when we look at returns, we would look at returns in excess of 12% up to mid-teens, typically for investments in this space. And for this 600-megawatt project, that is in line with...
John Ryan: Thank you, Stan. Cost of capital?
Stanley Yang: Yeah. I think on a weighted average, cost of capital somewhere in a 10% level before the impact of any leverage.
John Ryan: Okay. For those of you who are based in Europe, we'll be coming to see you in a couple of weeks' time. So if you haven't heard from us about this, please get in touch. We can talk about these things in more detail. Visit to the USA will follow thereafter, I think, beginning in early May. And again, if you want to see us, please drop us a note. Have we got more questions coming from our listeners?
Sara Cheung: Timothy has a question.
John Ryan: Yes, go ahead. Timothy, go ahead.
Unidentified Participant: Hi. Thank you management for taking my question. Mine would be about MPTC. I think the toll road business dates back to like 2023, there were talks about bringing it public along with Maynilad. And then time goes by, there were talks about private placement or merger even. I'm just wondering if there is any update on that end? And if there's going to be a corporate action related to the toll road business, is there an estimated kind of schedule that we can take reference of? Thank you.
Stanley Yang: Yeah. What I would say is that the strategic plan would be to find new capital. And I -- yes, indeed, there were discussions and options in terms of how that form would be conducted. And so -- at the moment, there are discussions underway, not related to a public listing, but rather a private placement. And that's a process that began last year and the discussions are advancing and continuing. And so for us at MPTC, the expectation and the objective would be to find that a significant minority shareholder with new primary proceeds to invest into the business. So there are discussions underway. And of course, as and when the transaction is ready, then announcements and appropriate disclosures will be made.
John Ryan: Thank you, Stan. Stan, let me take a stab at explaining the intended subscription and in-specie issuance to our shareholders for the Maynilad IPO. Essentially, the Hong Kong Stock Exchange has got something called a Practice Note 15 via which they've said to First Pacific that we should give our own shareholders a chance to participate in the Maynilad IPO. For that reason, we will be subscribing to, I think, 0.45% of the new total of shares in Maynilad, and we will distribute those shares to our own shareholders, either in specie as Maynilad shares or in cash. Does that sound accurate, Stan? And then we've -- someone is asking to what extent does MPIC want to be diluted during the Maynilad IPO? And would Maynilad still be consolidated by MPIC and by extension First Pacific?
Stanley Yang: So to take that one, the question on dilution. So one, the IPO itself is a requirement as part of the franchise renewal, we have no choice, but to list the business by January 2027. Now having said that, IPO has always been discussed as a consideration because we think that the business, one, there will be significant capital required to grow the business to address the problems in terms of NRW improvement and so forth so that these would be upside to us as that pipeline and so forth is improved and the NRW reduced. And so then as a base of that, then with the new primary proceeds and under the listing, one of the requirements is to offer at least 30% to shareholders. And so stemming from that, then yes, there is an expectation of dilution. Having said that, though, MPIC will continue to stay as the largest shareholder of Maynilad following the listing. And in terms of the consolidation, there is a -- the holding company that I mentioned, which today has approximately 94%, that would continue to be the controlling shareholder and Metro Pacific by virtue of its 51.3% shareholding in that holding company, then that's the basis for continued consolidation.
John Ryan: First Pacific's announcement on this matter, I think it was last week, has got some more details of the ownership of Maynilad, if you want to look more into those details. Have we got more questions coming?
Unidentified Participant: Yeah. It's Tony Watson here. First of all, apologies for jumping in. I can't find the hands-up control. But anyway, two questions. One, the First Pacific '27 (ph), it's a little early yet, but any thoughts around refinancing that or possibly doing some new issuance ahead of that, given we've got very, very tight spread -- credit spreads throughout the market in Asia Pacific space anyway. Second question is around PLDT's wholly owned online bank that may -- do you guys have any thoughts around an IPO, a trade sale or possibly bringing in an industry partner or just any general outline of plans you have for that venture? Thanks.
Stanley Yang: Joseph?
Joseph Ng: Change of air (ph) for the first one about the bond. I mean that's the only bond we have in the debt portfolio. We issued it in 2020 for 7 years at 4.38% and actually still a very low borrowing cost to ask us. If we see some of our numbers, I think the average borrowing cost for us now is about 5% and the average tenor is about 3 point something years. So it's a few -- two years away. I think that bond due in September, I remember correctly, 2027. So we're actively looking into that, to be honest. And then when we are now considering the refinancing the $200 million in 2026 and one of the options to be honest, is that $200 million itself is not difficult to be refinanced. And then one of the options that we are discussing with the bank, nothing is concrete. It's about bundling the $200 million with $350 million, but nothing is concrete and solid. And to be honest, it may be still quite early for the $350 million. And also to be honest, the reason why we put in place the credit rating a few years ago was to plan ahead for kind of getting assets again to the bond market. But the market conditions so far have not been very conducive to be honest. So we are monitoring that closely. We never say never. But we will look actively into the bond space, and there are a number of houses knocking on the door as to see whether we have any interest to early refinance that $350 million. But I think first thing first, we look into the $200 million and if there are attractive proposals from the investment houses of doing a jumbo $550 million, then we'll take a serious look into that. But as of now, we focus more on the $200 million, which will be due in, as I say, January 2027 -- sorry, January 2026.
John Ryan: Thank you, Joseph. Now regarding Maya, there are some adults in the room. We've got Tencent as a shareholder, the International Finance Corporation arm of the World Bank as a shareholder and so is KKR. PLDT is simply the biggest with about a 38% stake. And there is and has been for a long time, lots of talk about what the future of Maya might be. But to speak more specifically and less vaguely. I'll turn to Stan again.
Stanley Yang: Sure. On Maya, I think what's important with Maya to note is that the business as a start-up, you always try to cultivate it, you try to build as much customers. And in this case of the digital bank, both the deposit side and the loan book. Now fortunately, as the management has been executing on their growth and strategy, the business is hitting an inflection point. The number of depositors and the customer base is now very large, and you have a digital bank with 5.4 million customers at the moment. And then in terms of the total balance at year-end, PHP39 billion of total deposits. And similarly, on the loan side, I think it's fair to say that management in reason and looking at the care of the business and also protecting against higher levels of defaults grew that loan book a little bit more slowly. But now that the ability to assess customer credit and so forth has picked up then the loan side of the portfolio, as you can see on the slide here on the screen, has really jumped in 2024, and we expect that to continue to move going forward to continue to grow. And so for us, it's an inflection point. I would say that the business overall still is behind the competitor, GCash, although they're not in the digital banking per se in the way that Maya has the license, but they were the fintech that has gotten a bit bigger. And so certainly, the business at this point, though, is -- the focus is around growing the business. Of course, in terms of strategic options, as you point out, whether a trade sale or an IPO in the future would make sense. I think these are discussions that both PLDT and the other shareholders who John mentioned will continue to discuss around these options. But at this moment, though, the mandate for the business is to continue to grow it. And fortunately, in terms of the business, in the latter part of last year, the business has started to generate positive net income, and that is expected to carry into 2025. And so on the whole, though, this is a good business that we think will create significant value. The question is how do we monetize it and the timing and the options, as mentioned in terms of sale or listing.
Joseph Ng: Okay. John, can we look at the questions here?
John Ryan: Metro looking for another strong year. Does this imply increasing revenues and net profit for 2025 and 2026. Well, if current trends continue, yes. If we were to spill over to -- I think it's Page 34 in this book -- it's not 34, where is it? Page 43. If you look at Page 43 in this book, the economies of the Philippines and Indonesia are expected to have doubled from 2018 to 2029. One more Page 34, please -- sorry, 43, I have the numbers backwards. I think it's safe to expect that under these circumstances, a company which is offering services in defensive industries like power, roads and water, which tend to be fairly strong in times of downturn and grow in times of upturn. I think it's probably a safe bet that MPIC having a strong year in '25 again and in '26 could well imply stronger revenues and profits, but there is no formal forecast by MPIC.
Joseph Ng: Do we have any more questions coming from our listeners?
John Ryan: We don't see any raised hands, do we?
Sara Cheung: No.
John Ryan: Right. The Executive Director, Chris Young, do you want to wind up closing remarks?
Christopher Young: Okay. Thanks. Well, first of all, thanks to everyone for joining the call today. It's very encouraging to see numbers on the call. I hope you got a good sense from the presentation and from the Q&A, what is driving the underlying results of the company. We highlighted the strong growth in earnings 2024, I think 11% growth which is the fourth successive year of strong growth. Actually, earnings, I think back five years ago, were at about the $300 million level of recurring profits. We're now up to about 670 million. So there has been a period of strong growth, both on the earnings front and on the dividend front. In terms of the outlook, again, without giving any formal forecast, the underlying businesses continue to do well. Indofood is doing well. As John just described, all of the component parts of Metro Pacific are doing well. And we see that we have a very, very strong base for growth over the next few years. So I think we've got the base of earnings growth, and we can see that continuing into the near future. So if we look at the start of 2025, I think across the group as a whole, it's been encouraging. And we hope that, that will continue for the balance of the year. So we hope you're able to join us again for our half year results, which I think are at the end of August, August 27, where hopefully, we are able to report continued growth across the group as a whole. So thank you all again for joining us, and we hope to hear from you again in August. Bye for now.
Stanley Yang: Thank you, Chris.
John Ryan: Thank you, everybody. Get in touch with further follow-ups. Bye-bye.
Sara Cheung: Thank you.